Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Ecopetrol's Fourth Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. We will have a question-and-answer session later and the instructions will be given at that time. [Operator Instructions] Now I’d like to welcome our host for today's conference, Ms. Maria Catalina Escobar, Director of Corporate Finance and Investor Relations. Please go ahead.
Maria Catalina Escobar: Good morning everyone, and welcome to Ecopetrol's earnings conference call and webcast in which we will discuss the main financial and operational results of Ecopetrol for the fourth quarter of 2015 and full-year 2015. Before we begin, it is important to mention that the comments by Ecopetrol's senior management in this call could include projections of the Company's future performance. These projections do not constitute any commitment as to future results, nor do they take into account risks or uncertainties that could develop. As a result, Ecopetrol assumes no responsibility in the event that future results are different from the projections shared on this conference call. The call will be led by Mr. Juan Carlos Echeverry, CEO of Ecopetrol; other participants include Felipe Bayón, Executive Vice President; Maria Fernanda Suarez, Vice President of Strategy and Finance; Max Torres, Vice President of Exploration; Hector Manosalva, Vice President of Development and Production; Juan Pablo Ospina, Vice President of Commerce and Marketing; Thomas Rueda, CEO of Cenit; Tomas Hernández, Vice President of Refining and Processes; Rafael Guzman, Technical Vice President and Alberto Vargas, Financial Comptroller. We will begin the presentation with the main achievements of 2015, followed by the highlights by business segments and the financial results under International Finance Reporting Standards. We will close with the outlook for 2016 and a Q&A session. I will now turn the call to Mr. Juan Carlos Echeverry, CEO of Ecopetrol.
Juan Carlos Echeverry: Thank you, Maria Catalina. I would like to start this presentation by discussing the behavior of oil prices. Between June 2014 and December 2015, the price of Brent crude fell about 65% mainly as a result of the imbalance between supply and demand. Different analysts estimate that these imbalance for 2015 was between 0.7 and 2 million barrels per day bringing crude prices to their lowest level since the end of 2003. The excess supply dropped to an inventory accumulation of 1.8 million barrels per day in 2015 according to – estimated by the International Energy Agency. It is expected that lower prices begin to affect the availability of unconventional crude which is highly sensitive to price and our conventional crude when cost to investment and exploration and production become affected. Large expectations indicate that supply and demand could get closer at some point in the second half of 2016. However, first it will be necessary to drain the excess inventory to see a change in the incremental that could point to its recovery in the price of crude. The drop in price drastically affected oil companies’ results and leased a period of radical changes in the industry which is seeking greater efficiency. Lower costs and strict capital disciplines to preserve cash and long-term financial sustainability. For Ecopetrol, the crude sales basket shrank by US$43 per barrel from 2014 to 2015. The Company reacted swiftly and decisively implementing its software transformation plant throughout its entire value chain by while it maintained its solid operational performance without affecting reliability and safety. On the next slide we will discus some of the factors that had a particular impact on Ecopetrol in 2015. In 2015, the Company faced order situations that challenge its ability such as El Niño phenomenon, the closing of the border with Venezuela, and attack on our transportation infrastructure. Ecopetrol’s fuel supply logistics were stretched through a limit to meet the increasing demand for natural gas and liquid fuels for the thermal sector caused by El Niño, a climate event that brings severe drops to Colombia and restrict the availability of water for power generation. Additionally, Ecopetrol’s supplies a greater volume of liquid fuels to the border zone with Venezuela due to the addition of this country to close its border with Colombia which curtailed – that usually comes from Venezuela. The attack in the transportation infrastructure continues to affect production for low to lesser extent, the number of attacks fell from 130 in 2014 to 80 in 2015. Finally, 37% devaluation of the exchange rate in 2015 improved the Company’s competitiveness. It boosted revenues from exports and transport services to cover all related business besides the devaluation reduced the estimated cost for development reserves which shouldn’t be stated in dollars for position of economic evaluation. Then adverse effect devaluation comes from the adjustment, the company’s net liability position. All to this effect is mitigated through hedge accounting adopted as of 31, 2015 which chooses about 50% of Ecopetrol’s debt in dollars to cover acquisition of [indiscernible]. In the following slide, we will take a look at the key accomplishments in 2015. Ecopetrol priority in 2015 was to protect cash. The Company focused on cutting costs for inventing its process to achieve greater efficiency, allocating resources with the strict criteria of capital discipline and accomplishing the startup of Reficar a key project of Ecopetrol and of Colombia. Ecopetrol’s surpassed the savings target of COP$1.4 trillion for 2015 managing to rack up savings of COP$2.2 trillion along with COP$0.6 trillion from the Group affiliates for a total of COP$2.8 trillion. With our transformation plan, we expected that these savings will be structural and contribute to Ecopetrol’s financial stability. After this effort, the lifting cost maintained its downward trend and reduced the reduction between 2015 and 2014. Close to 30% of this decline can be attributed to cost reduction strategies and 70% to the devalued exchange rate of 2015. Ecopetrol still has opportunities for saving and optimization on numerous fronts such as dilution well drilling costs and times, maintenance and contracted services, which gave rise to set an additional savings target of COP$1.6 trillion for 2016. The Group reported a net loss of COP$3.9 trillion in 2015 due mainly to the low price of crude oil. As has been the case for other oil and gas companies the drop in crude prices cost the recognition of impairments of property, plant, equipment, natural resources and goodwill in the amount of COP$6.3 trillion net of taxes. Setting aside the effect of the impairments we could have reported estimated net profits of COP$2.4 trillion. In spite of this financial result, the Company has exceeded solid operating results and maintained good cash generation reporting an EBITDA of COP$18 trillion and a stable EBITDA margin of 35%. One of the Central purposes of our administration was the startup of the Cartagena Refinery and milestone that Ecopetrol reached on October 31, 2015 with an entry into service of the crude unit. This unit has been producing since November, processing between 80,000 and 90,000 barrels of oil per day. On February 24, the Delayed Coke plant commenced operations and at the end of February, the cracking and naphtha hydrotreater units will do. By the end of February, the refinery was loading 110,000 barrels per day in the crude unit. The Group’s proven reserves stood at 1,849 million barrel equivalents at the close of 2015, 11% less than in 2014 in line with average reduction reported by other companies. 1,639 million barrel equivalents corresponded to crude oil and the remaining 610 million natural gas, the 45% drop in sales prices of crude oil brought down the economic limits of certain fields. And from assessment of plants for investment in orders, reducing the reserve bonds Ecopetrol estimate a loss of 404 million barrels equivalent of proven reserves versus 2014 due to the lower oil prices. These reduction was offset to great extent by cost utilization and improved efficiency accomplished by the Company as certified by our research auditors. These efficiencies made possible to maintain the economic limits of other fields as well as by the infill drilling campaigns and good production performance at the main heavy crude oil field. The optimizations achieved enable the Company to add approximately 275 million barrels equivalents compared with 2014. Amidst this difficult environment the Company have maintained it’s investment grade of the utmost importance for Ecopetrol to maintain its trade rating and to ensure it’s financial sustainability within a framework of capital discipline and operational profitability. In the following slide we can see the breakdown of [indiscernible] savings achieved by the Group in 2015. The Company has successfully implemented prosperity and savings measures to counteract the impact of lower revenues due to the drop in oil prices. Savings and costs with an impact on the P&L were COP$1.1 trillion 85% of them are associated with the process of the negotiating contracts for industrial maintenance, oil services, professional and consulting services. In drilling wells, the Company realized savings of COP$584 billion mainly due to a 21% reduction in cost per foot drilled, a 37% reduction in personnel assigned to contract oversight and administration and decrease in engineering rates and feasibility studies. The Company saved an additional COP$295 billion from lower dilution costs by US$0.75 per barrel due to increased tolerance for the viscosity of heavy crude in transport systems and COP$176 billion from other cost savings initiatives. Finally, affiliates contributed savings of nearly COP$600 billion primarily through the negotiation contracts in transport affiliates and lower operating costs in those on the upstream. Next slide please. The Company’s capital expenditure in 2015 was US$6.5 billion. The 2016 budget is US$4.8 billion which is 26% less as compared to 2015. The execution of the 2016 investment plan will depend on the evolution of oil prices. Given the sharp drop in prices during the first two months of this year we have adjusted the plan. We will continuously calibrate our investments in terms of the behavior of prices and cash availability. We will prioritize investments in production that generate cash in the short-term. In exploration, the Kronos, appraisal well and some onshore projects as well as the investments needed to conclude the start-up of the Cartagena Refinery and to consolidate transport capacity. From 2011 to 2015 Ecopetrol invested US$41 billion in investment cycle that demanded major sources to strengthen the mid and the downstream. The end of this investment cycle of these segments will enable Ecopetrol in coming years to focus on its primary activity namely exploration and production. On the next slide let’s take a look on the improvements in the capital resource allocation process. The business case and the economic project management meet the four criteria for value, robust prices that enable projects to withstand short-term volatility, rate of return, cash generation and contribution to the strategy. We have strengthened the project maturity model with greater requirements to advance from one phase to next in order to secure the investment value promise. Each segment is prioritized in the portfolio optimization process depending on its own strategy and specific restrictions. In exploration, we prioritize opportunities of higher materiality, better success rating and higher risk diversification. In production, we prioritize investments with higher bio-generation and positive operating margins. In the downstream and midstream projects that improve refining margins and leverage the value of the production. Finally, the investment committee strengthens the process of capital allocation, assigning resources only to projects that’s profitable, contribute value criteria and short-term cash generation. It’s worth highlighting that the Company projects will be evaluated one-by-one and resources will be approved or not under the strict capital allocation process. As I have expressed before, we want Ecopetrol to be slow in its thinking process, but fast in terms of execution. Let’s see the next slide to review Reficar's progress. The industrial services unit at the Crude Unit of Reficar are in operations since last year. The first export of fuels was sent out to the United States and Caribbean in November of 2015 for a total of 200,000 barrels of virgin naphtha and 50,000 barrels of JET A1 aviation fuel. This last February 24, the Delayed Coke Unit commenced operations, reducing fuel gas, liquefied petroleum gas, naphtha and diesel which after going through the hydrocracking and diesel hydrotreater unit, produce clean fuels such as gasoline and ultra-low sulphur diesel. At the end of February, the cracking and naphtha hydrotreater units began operations. The cracking unit takes diesel from the crude unit to produce streams of higher value, while the naphtha hydrotreater plant remove sulphur from gasolines to deliver ultra-low sulphur fuels with less than 50 parts per million. In the coming weeks, the hydrocracking unit with two diesel hydrotreating units and alkylation unit will be starting up. With this Group of plants, the Cartagena Refinery will achieve a conversion level of 97%. The whole complex of plant will be operational during the second quarter of this year. The average load for 2016 is expected to be approximately 143,000 barrels per day. I am speaking today in connection with the legal matters related with the execution of the Reficar project. First, I consider important to explain the roles of various control entities in Colombia. According to Colombian law Ecopetrol and public resources is the government - is a majority shareholder. As a result Ecopetrol’s employees have a responsibility to ensure the proper use of public resources and therefore their acts are subject to the control of various controlled units, the Office of the General Comptroller or Contraloría General de la República. If the entity entrusted to ensure the proper use of public resources and has their authority to investigate government employees or private workers that use or manage resources of such nature. Therefore Prosecutor's office for Procuraduría General de la Nación is the entity in charge to supervising government employees under compliance with proper civil services regulation. Finally, The Office of the Attorney's General of Fiscalía General de la Nación investigates crimes and prosecutes those crimes before the judges so that they come with prepared judicial process. In 2015, The Office of the General Comptroller initiated a review of Reficar. These concluded towards the beginning of 2016 and the results are published under their website. The report doesn’t mention any fiscal planning against Reficar, a Company affiliated to Ecopetrol. On January 26, The Office of the General Comptroller began a special audit that runs until November 2016. Ecopetrol and Reficar have diligently provided all the information needed for this audit. As of this date Ecopetrol has no knowledge of the specific investigations against the employees of Reficar or Ecopetrol by The Office of the General Comptroller. The prosecutor’s office currently has two open investigations. One initiated in 2012 against the members of the Board of Directors of Reficar, and a more recent one that involves certain ministers and former ministers and other members of the Board of Directors of Ecopetrol to evaluate their role in the supervision of Reficar over the past five years. It is necessary to clarify that Reficar execution was performed via private American firm called DVNI and was directly by Reficar or Ecopetrol. Also in early February, The Office of the Attorney's General began gathering a reviewing information about Reficar. All the investigations are in still at the preliminary stage and I want to emphasize that Ecopetrol and Reficar are giving the almost importance to these processes. We have appointed a manager to gather all the information related to the projects in order to guarantee its integrity and organization. Likewise, we have appointed a specific spokesperson who has the control entities for the procurement of information. Finally, I want to point out that at this time none of the investigations referred to violations of the Code of Ethics or affect the integrity of the business of Ecopetrol. Ecopetrol also has implemented a special protocol to investigate these models. I will now hand the presentation over to Rafael Guzman, will tell you about key results for the production segment.
Rafael Guzman: Thank you, Dr. Echeverry. For the production segment in 2015 Ecopetrol exceeded the production target achieving an average cost 761,000 barrels of oil equivalent per day. This is the second highest annual production in the history of the Company. The production result was higher than 2014 by about 5,000 barrels of oil equivalent per day, which is an increment close to 1% year-on-year. This result was mainly due to a production increase from our direct operations in the Orinoquia region. Specifically Castilla showed an increment of 17% compared to 2014 and a record production of 126,000 barrels of oil per day during the last quarter of 2015. This effort was complemented by Chichimene were production was 39% higher than in 2014 reaching an average of 78,000 barrels of oil per day in 2015. We should also mention an increase in the production of our affiliates specifically Equión with a 16% increment and Ecopetrol America with an increase of 9%, These upturns allow us to compensate the natural decline of our assets, changes in our participation in some of the association contracts between the current price level, reductions in the drilling activity mainly in assets operated by partners, environmental permit limitations and impact due to structure effects during the third quarter. The resulting balance is a positive one in a year with a difficult global price environment. The level of production was achieved in line with our strategy of value over volume. In that regard it is important to note that during 2015 all of our field showed positive margin and no closures represented. Thanks to the optimization efforts in our activity. The Company also continues pursue sustainability in the medium and long-term. The increase recovery factor program is a main driver for this strategic objective in the production segment. During 2015, we started eight additional enhanced recovery pilot related to technologies in water injection, solvent injection and improved water displacement. This eight pilot fulfill the goal initially planned for 2015. In total, Ecopetrol currently operate 29 recovery pilot of which 22 have shown positive result in pressure increases and 15 have shown positive results in increased oil production in the contacted area. As a tangible result that program has managed to incorporate close to 1 billion barrels of new contingent resources in the last three years from producing field. Addition to a pilot initiated in 2015, it is worth highlighting the progress of the air injection pilot on the Chichimene field. The construction of the main facilities is near completion with 94% abandoned. The Connectivity tests was finalized with positive results demonstrating continuity of the sands and the good connectivity between the injector and production wells. The start of the air injection is planned during 2016. In terms of efficiency and cost reduction, we continue working to achieve the structural reductions in both our operating costs and development costs. In operating costs Ecopetrol achieved a 34% reduction in the lifting costs compared to 2014. As an example we reduced the percentage of the wells which needed maintenance interventions during the year, going from 41% to 33% of the active well. In addition, our interventions cost during 2015 went down by 17% compared with 2014. In the same direction we worked in south power generation project and tied renegotiation in activities related to maintenance, fluid treatment and energy. We also continue working on reducing two main components of our total costs, use of diluent and transport. Both item sum up to about COP$450 trillion savings compared to 2014. On the side of the development costs, our strategy of efficiency is also delivering positive results. In terms of drilling efficiency in our operated projects, reduction between 20% and 50% were achieved in drilling times over the previous year. In particular, for Castilla the time to drill a well was 34 days in 2014, 26 days in 2015 and it is now 19 days so far for 2016. As a consequence, our drilling costs have been significantly dropped. The average costs per foot drilled in 2015 was 21% lower than the one in 2014. For 2016, the reduction is now 29% compared to 2014. This improvement in our capital efficiency is strengthened our asset development under profitability even with a low price scenario. Now, Max Torres will comment on the results of exploration.
Max Torres: Thanks Rafael. In exploration, we highlight as of 2015 accomplishments, the exploratory success of Kronos discovery in deepwater offshore Colombia considered to be one of the major discoveries worldwide and also exploratory success in SSJN-1 and CPO-09 on the onshore Colombia. On this project incorporated contingent resources that replace more than 100% of Ecopetrol’s production. During the fourth quarter 2015, the exploration well Calasú 1 in the block Fuerte Norte was drilled in deepwater offshore Colombia and operator Anadarko with Ecopetrol 50% participation. This will prove the presence of an active petroleum system and is considered to be a sub-commercial discovery. The exploratory well Muérgana Sur 1 located in Llanos Orientales basin and operated by Ecopetrol was plugged and abandon as a dry hole. Additionally, in December the exploratory well Payero located in Niscota block in the Piedemonte basin was spudded. The partnership is composed by Hocol 20%, Total 50% and Repsol with remaining 30%. This well is operated by Equión and is currently drilling ahead. In addition to our affiliate Ecopetrol America, the drilling of the appraisal well Leon 2 in the deepwater Gulf of Mexico operated by Repsol, we have 60% participation on Ecopetrol with remaining 40% was ongoing. This well reached TD on the February and it’s currently under evaluation. Finally, as a result of participation of Ecopetrol America in Lease Sales 235 and 246 in November 2015. Three blocks known as Atwater Valley 009, Mississippi Canyon 978, and East Breaks 685 were awarded by the BOEM. Also during 2015 a total of 10 blocks in the Gulf of Mexico were awarded to Ecopetrol America. Now, I leave you with Maria Fernanda who will comment on reserves.
Maria Fernanda Suarez: Thank you, Max. Good morning to all participants in today’s conference call. Let’s first review the Company’s 2015 reserve balance. Ecopetrol’s one key reserve were 1,849 million barrels of oil equivalent which represent an 11% reduction compared to 2,084 million barrels of oil equivalent reported by the end of 2014. The main driver for the decrease in reserve was the significant drop in oil price, the SEC price used for the valuation of reserves in 2015 was US$55.57 per barrel compared to US$101.80 per barrel in 2014. The Company estimates that as a resource of lower oil prices closed to 404 million barrels of oil equivalent were deducted from proved reserves. Nevertheless, optimizations and efficiencies achieved during 2015 addition approximately 275 million barrels of oil equivalents, partially offsetting the impact from low oil prices. Moreover, 154 million barrels of oil equivalent were added as a result of new drilling campaigns primarily in Castilla and Rubiales as well as positive revisions in some of the fields, as was the case for Chichimene. Another favorable aspect to highlight is the incorporation of self-consumption natural gas as proved reserves for a total of 47 million barrels of oil equivalent. I now hand the presentation over to Thomas Rueda, who will comment on midstream results.
Thomas Rueda: Thank you, Maria Fernanda. Good morning, during 2015 total transported volumes increased by 27,000 barrels per day equivalents to 2.2% versus 2014 reaching 1,232,000 barrels per day. Crude oil pipeline transportation increased by 2.5% compared to 2014 mainly due to the increase in the volumes transported through the Caño Limón-Coveñas and Transandino pipelines as a result of the lower number of a tax against the transportation infrastructure throughout the year. Approximately 71% of the volumes transported belongs to Ecopetrol. Transportation of refined products increased by 1% during 2015 compared to the previous years mainly due to an increase in the volumes transported through the Cartagena-Barranquilla pipeline. This increase corresponds to imported products to fulfill the demand of the Central Region. Approximately 17% of the refined products transported belongs to Ecopetrol. Midstream’s financial results were very positive during 2015 in terms of EBITDA as it can be observed in the graph. Mainly as a result of important optimizations implemented for our operating and maintenance costs for an amount of approximately COP$400 billion. The positive impact of the exchange rate on our crude oil pipeline revenues, which tariffs are established in U.S. dollars also explains these results. As a result of these factors transportation costs per barrel decreased by 16% during 2015 versus those of 2014. Finally, I would like to highlight that aligned with the CapEx discipline initiatives that 2016 to 2020 CapEx for the Midstream segment has been optimized in approximately COP$2.1 trillion. These initiatives have been executed without comprising reliability, integrity or safety of the operation. With this I hand over to Tomas Hernández, who will comment on the downstream results.
Adolfo Tomas Hernández: Thanks, Thomas. In 2015, the gross margin of the Barrancabermeja Refinery was US$16.80 per barrel to US$20 higher than in 2014. As a result of process improvements that allowed higher yields of valuable products and the capture of better international margins. The throughput of the Barrancabermeja Refinery during 2015 decreased by 5,000 barrels per day compared to 2014 due to the schedule turnaround of the crude unit in August. However, during the fourth quarter of 2015 the throughput was higher due to better operational availability of process units increasing by around 18,000 barrels per day compared to the same period of 2014. The cash operating costs to refining and petrochemicals decreased by 39% compared to the results of 2014. Thanks to the implementation of maintenance and general services optimization strategies. The utilities master plan reached 99.3% progress and the start-up of a new boiler was accomplished during this quarter. This master plan aims to increase reliability and efficiency of the utilities operations in Barrancabermeja. It is important to mention that in 2015, the number of labor injuries decreased by 53% and process safety incidents decreased by 20%. This positive trend shows the commitment of the refining business to safety and environmental performance as well as operational excellence. Now, I turn the presentation to Maria Fernanda Suarez who will comment on the financial results for the period.
Maria Fernanda Suarez: Thank you, Tomas. I will now discuss the Group’s financial results during the fourth quarter of 2015 and full-year 2015. Ecopetrol’s 2015 results were impacted mainly by three variables. Crude oil prices, exchange rates, and first time adoption of International Financial Reporting Standards, IFRS. Brent crude which is our main extra reference decreased 42% during the fourth quarter of 2015 in comparison to the same period in 2014 completing an annual decline of 46% between 2014 and 2015. Ecopetrol’s crude basket differentials versus Brent declined by US$2.3 per barrel going from US$12 per barrel in 2014 to US$9.7 per barrel in 2015. Additionally, the average exchange rate devaluated 41% during the fourth quarter of 2015 and 37% during 2015 in comparison to the same period last year. The Company closed the fourth quarter with total revenues of COP$12.7 trillion, 10% less than total revenues reported in the same period of 2014. In 2015 revenues reached COP$52 trillion, 21% less than 2014 revenues. Therefore, the Colombian as devaluation partially offset the negative effect of lower sale prices. The substantial decrease in revenues impacted the Company’s financial results. 2015 EBITDA was COP$18 trillion, 26% less than 2014 EBITDA. Fourth quarter 2015 EBITDA was COP$3 trillion approximate to 2014 EBITDA. Furthermore, fourth quarter 2015 EBITDA margin improved and reached 24% versus 23% in the same period of 2014. I would like to highlight that 2015 EBITDA margin was 35% just 3% less than the reported EBITDA in 2014. The Company’s 2015 capital expenditures was US$6.5 billion versus an initial target of US$7.9 billion. This optimization reflects the Company’s capital this been approached and optimization throughout the different segment which were achieved without affecting operational results nor the reliability and safety of our activity. Cash balance at the end of 2015 was COP$6.6 trillion. It reflects the Company’s conservative policies towards cash management and it is noteworthy that these amount is approximate to our 2016 financing needs of which we have already obtained the equivalent to COP$1.5 trillion. In 2015 based on the annual impairment has performed an impairment expenditure of COP$8.3 trillion was registered equivalent to COP$6.3 trillion after taxes. We must highlight that these recognition constitutes an accounting effect of non-realized expense and as such does not include any cash outlook. As a result of the impact mentioned before, the Group reported during the fourth quarter of 2015 and net loss of COP$6.3 trillion and COP$3.98 trillion for full-year 2015 excluding impairments that Company will have had a net income of COP$30 billion in the fourth quarter 2015 and COP$2.4 trillion for year-end. Finally, the debt-to-EBITDA ratio closed in 2.9 times for 2015. These level is considered reasonable given the substantial drop in prices and it’s consequent impacts on the Company’s cash generation. In the next slide, we can elaborate on the main reasons that explain income variation between 2014 and 2015. The Group net financial results on the Colombian GAAP in 2014 was COP$7.8 trillion. On the IFRS, the net result of 2014 was COP$5.7 trillion. The main reason for the variation of the net income between 2014 and 2015 were as follows. The type of lower oil prices on costs and revenues explain a reduction of COP$15.8 billion. The effective valuation of our revenues caused a hedge accounting resulted in a variation of COP$8.5 trillion. Impairment variation between 2014 and 2015 producer reduction of COP$4.6 trillion. The income tax decreases our result of a net loss reported by the Group in 2015 and lead to a positive variation of COP$2.8 trillion. Taking all of these variations into account, the Group reported in 2015 a net loss of COP$3.98 trillion and net income before impairments of COP$2.4 trillion. Let’s move forward to the next slide to review results by segment. All of the business segments made remarkable efforts to reduce costs and increase efficiencies in order to offset the dropping oil prices and preserve the company’s cash flow. As an upside of being an integrated company midstream and downstream results helped counterbalance upstream losses. E&P income fell COP$6.6 trillion mainly attributable to lower oil prices, which were partially offset by the optimizations achieved in maintenance, contracted services, dilution costs and administrative expenses. Downstream had an upturn in its net income of COP$300 billion as a result of improved margins and lower operational costs in contracted services, materials and supplies. Midstream continued to show a solid performance with an increase of COP$1.2 trillion in its net income due to a positive effect on its fees of the Colombian peso devaluation. As well as lower costs from contracted services and materials utilized for operational purposes. Please continue to the next slide to review sources and use of funds. The cash flow generation in 2015 was mainly affected by the sharp decline in oil prices. To which the Group responded in a promptly manner through its investment and cost reduction efforts as well as optimizations across all segments. Additionally resources were obtained from the sale of temporary investments along with the first round of the divestments program. Specifically, the sale of Ecopetrol’s stake in Empresa de Energía de Bogotá. Funding needs were completed with net debt of COP$4.1 trillion or US$1.4 billion. The Company’s final cash balance remains at a strong level. As a demonstration of our cautious and conservative approach to a cash flow management. In the following slide we will explain our 2016, 2017 divestment plans. During 2016 and 2017 we estimate to collect US$400 million to US$900 million from non-strategic divestments. I would like to highlight that most of our divestments are non-oil and gas related. Up to date, we have announced the sale of Propilco as well as the sale of our stake in Empresa de Energia de Bogota SA ESP. In the case of Propilco we expect to commence the first stage in the second quarter of 2016, which is addressed with special beneficiaries as ruled by law 226. When this stage is concluded we can move forward to the second stage where the remaining shares can be offered to all investors. 2016 cash flow budget does not include any funds from divestments. Any proceeds coming from the program will strengthen the Company’s cash flow. I will now hand the presentation to President Echeverry.
Juan Carlos Echeverry: Thank you, Maria Fernanda. Before I finish this presentation I would like to discuss the process of organizational consolidation we carried out as a result of the change in the strategy defined by the Board of Directors in 2015. Ecopetrol had outsourced a great number of activities which led the number of indirect employees to reach 48,000 by the end of the 2014. Nowadays that number has been reduced to 23,000 employees, implying a 25,000 labor cost optimization during last year. Additionally, one of the key elements of this process was the renewal of most of the management team, which has been actively engaged in the consolidation of projects needed to achieve Ecopetrol’s transformation. Ecopetrol is working with its labor unions to develop relationships of trust based on principles of mutual respect and recognition, taking the well being of its workers, retirees and their families, always within a framework of efficiency and sustainability. Let’s go the next slide, so we can see the outlook for 2016. The oil pricing in 2015 are still in place and will demand greater adjustments by this Company. 2016 represents a transition period for the business segments in the corporate group. Transportation and capital discipline will continue driving the Company’s decision to our 2016. We will continue to consolidate austerity measures, as well as efficiency and cost reduction in order to generate additional savings of COP$1.6 trillion this year. These additional savings will help us navigate the current price environment and produce profitable barrels. That being said the Company’s future cannot solidly be built upon services. As we have already done. We’ll further strengthen our exploration and production portfolio, targeting lower breakevens, technical risk mitigation, and the identification of additional projects that guarantee future growth for the Company. It is important to emphasize that in 2016, we will conclude the important investments in our Down and Midstream segments allowing as of 2017 for resources of approximately US$1 billion to be redirected towards exploration and production. Aside from operational excellence, another crucial element for the future is financial excellence. It is of the utmost importance for Ecopetrol to preserve its financial metrics and the Company’s investment grade rating. We will adjust our 2016 borrowing so as to keep the debt-to-EBITDA ratio from exceeding four. The Company will tackle the market between US$1.5 billion and US$1.9 billion. And the Company has already raised nearly US$475 million with local and international loans. Our financial sources for this year do not include asset divestments which upon materialization will enhance our cash position. CapEx and OpEx adjustments could lead to the closure of certain non-profitable fields as occurred recently with Cano Sur with the production of 1.2000 barrels per day. This decision accentuates our commitment to prioritize value creation of our volume. Thanks to lower operational costs. On the current oil prices, we can preserve more than 96% of oil production. Finally, in light of lower oil price forecasts for 2016 and 2017, we are updating our medium term plan to reflect the current price environment and to payback from Ecopetrol’s transformation process. Thank you very much. And we now open the line for the Q&A session.
Operator: Thank you. [Operator Instructions] And our first question is from the line of Luiz Carvalho from HSBC. Please go ahead.
Luiz Carvalho: Hello everyone, good morning. I basically had three questions here. I think the first one might be addressed by Juan Carlos. You mentioned during the presentation that the net debt-to-EBITDA is close to 3 and the maximum level would be 4 times. So, can we expect that the leverage would increase during 2016 or, it's more something in the long term? And how do you think that the rating agencies will see that? The second question will go to Max, on the exploration side. You mentioned Kronos as a contingent as sources are ready. Do you have I mean through the exploration plan any timeline that you expect that Kronos might turn 1P reserve? And when we're going to get let’s say the impacts on the public reserves of the Company? And the third question would go to Maria Fernanda, on the divestment front. You mentioned that part of the divestment is not included or US$500 million, it's not included to the cash generation for 2016. But I would like to know if you could give us a color about what will be the impact from the asset sale on the cash generation? In summary, if you sell those assets, what's – let’s say the impact to the cash generation that those assets are currently generating? Thank you. 
Juan Carlos Echeverry: Thank you, Luiz. This is Juan Carlos Echeverry. In terms of your first question, the idea for us is to maintain a very conservative view towards the depth. We want to secure our solid basis for the investment grade to keep the investment grade, and of course, this year has been challenging in terms of cash because of the price of oil. Opportunities evolving north, but nobody can guarantee what will come in the near future – and we have to prepare for that. So we are in more or less in a ratio of 3 debt-to-EBITDA, we have considered that during this year that can evolve and we have set for as an indicative maximum for us. And the idea is that in upcoming years as we have balancing the divestments of non-strategic assets and also in the plan – in our growth plan we should able to go back to below three hopefully - as soon as we can but the idea is to maintain a very conservative stance in terms of debt issuance of course that implies a very delicate balance between cash and investments.
Max Torres: Hi, Luiz, Max Torres here I will comment on your questions about Kronos timelines and impact on the future of the company. Our plans are to drill Kronos 2 maybe its going to be September and October. The drill ship Anadarko will return from West Africa, who is drilling three wells there for them. So as soon as that campaign is finished that drill ship will return to offshore Colombia and we are planning to drill our appraisal well first in the Kronos structure. As you said we already have announced contingent resources in excess of 200 million barrels as a result of the Kronos 1. My impression and my guess is that obviously Kronos 2, which is an appraisal is going to improve that number or is going to give us a better perspective of what the Kronos discovery is. Based on that well we will design further appraisals campaign probably third well and a fourth well and based on that assessment we will define the development plan. Right now the impact of Kronos is probably 2022, 2023 depending on what kind of development plan and what kind of market we’re targeting. So there is the impact that we expect at least on our timeline as you requested from Kronos. We will continue our exploration campaign in offshore Colombia, we also planning to drill Arauca 2, which is the appraisal well from the Arauca discovery with Petrobras, late 2014, and also that is going to have an impact around the same time 2023, 2022. So and also we will continue drilling an additional exploration wells with partners like Shell, Repsol additional wells with Anadarko. So in summary I think the impact of the offshore Colombia exploration campaign should have rate impact on the future of the Company and also on the resource base of the company will have for the future.
Maria Fernanda Suarez: Hi, Luiz. So the question regarding divestments, this is part of our plan for these transitions that we are experiencing during 2016 but we expect regarding the impact on cash generation of the divestments that we have already announced is less than 10% of the cash generation of the total amount that we are announcing, so if at the end we sell US$500 million you can expect that the cash generation will be 10% of that amount.
Luiz Carvalho: Okay. Well very clear. Thank you very much all.
Operator: And our next question is from the line of Bruno Montanari with Morgan Stanley. Please go ahead.
Bruno Montanari: Good morning, good afternoon everyone. I had three questions. First one, can you update us on your production guidance for 2016 and perhaps long-term for 2020, as well? And if you could share with us the production level of the Company's most important use for these years, such as Castilla, Chichimene, and Rubiales? The second question is, I understand that there is a request from the industry to have lower pipeline tariffs in 2016. So, if you could provide us with an outlook for those tariffs this year that would be great. And then, the final question is on your reserves. Can you provide us with a breakdown of oil versus gas? Or, when we look at the total reserves declining 11%, how much of the decline is only for oil reserves? Thank you very much.
Maria Fernanda Suarez: I’m sorry about – can you please repeat your second question? We wouldn’t hear it correctly.
Bruno Montanari: The second question is about the pipeline tariffs. We understand that there is a request in the country to lower the tariffs in 2016. So, I was wondering if you could provide us an outlook for the pipeline tariffs this year? 
Juan Carlos Echeverry: Hi Bruno. Thank you for your question. We have issued a target of CapEx for 2016 of US$4.8 billion. And our target for this year and for the transformation program or in terms of the efficiency and efficient barrels more than volumetric target. Since the first two months of this year we are challenging in terms of price of oil. We have been revising our numbers and we will work in terms of CapEx like in an evolved fashion. So as soon as the price recovers and we have seen a positive development in the last week, but nobody can count on that – we should achieve our target of US$4.8 billion of CapEx, but nothing guarantees that that can be observed by the end of the year. So we will be focusing on balancing the cash generation of the company and the CapEx so that the amount of CapEx actually invested, it will determine the number of wells that we can drill, and that, in turn, will determine the production. So for a time being, we are being very conservative in terms of issuing any target in terms of volume, in terms of volumetric numbers and have to stress the fact that we are pursuing efficient barrels, profitable barrels and of course the target CapEx of US$4.8 billion. And the second question will be about reserves will be answered. I’m sorry about the pipeline. Thomas will answer on that.
Thomas Rueda: Thank you, Bruno. This is Thomas Rueda from Cenit. You are absolutely right; there has been a request by the producers to the Ministry of Mines and to review the pipeline tariffs. Let me give you a better flavor on this. We have been discussing tariffs within the regulation. That’s a very important part. It has to be discussed within regulatory terms, but we have been discussing with the producers for a while now. And we understand that the situation has gotten worse and that there is something that needs to be done. So we have been working within our transportation companies in order to present to the transport, to the producers, very soon in the next few weeks. Something that we think can be win-win situation. I think it’s important to say that our business depends on the volumes and we know that and it’s important to say that we have been – we are working on a proposals that’s going to come very soon.
Unidentified Company Representative: Hi Bruno. My name is [Fidel Ligal], from the Reserve Department. About our reserve about gas, 610 million equivalent barrels, and it is equivalent 33% of the reserve. The other amount is 1.2 billion barrel of oil. That doesn’t include NGLs. That’s all.
Bruno Montanari: Perfect. Thank you very much.
Operator: Our next question is from the line of Pedro Medeiros with Citigroup. Please go ahead.
Pedro Medeiros: Okay. Good morning guys. Thank you so much for taking the question. I just have two quick questions, here. The first one is, you mentioned on the conference call that all fields had positive margins in 2015. Considering the cost efficiencies that were achieved today and if you were to mark-to-market the current oil price and currency. Would you give any color of how much of the Company's existing production will be operating with a negative margin at this point? And my second question is if you can reiterate what's the base oil price in the minimal return threshold within the projects inside Ecopetrol's guidance for investing US$4.8 billion in particular, the US$3 billion to be invested in upstream? If you can give a bit more color on the flexibility within this number, as you pointed out that you would evolve the plan according to your operating cash flow you know and the behavior of oil prices. If you don't mind by giving a bit more details about what's the real flexibility within the US$3 billion number and how much of that will be dedicated to exploration? Thank you.
Maria Fernanda Suarez: Pedro. Our apologizes that can you please repeat the last question that you had.
Pedro Medeiros: Sure. It’s related to CapEx or it's a follow-up to the CapEx of US$4.8 billion. I understand the number might still be under revision. And as was pointed out before, you might workout the number evolving it according to your operating cash flow? What I wanted to understand is inside the number what's the base oil price you are assuming in the minimal return threshold for the projects? And if you don't mind, to give a bit more detail on what's the actual flexibility to workout that number? Like, can we see a much lower number in 2016? Do you have the flexibility to really deliver a much lower number given the contractual position at this point? And just one last detail about it - within the US$3 billion to be invested in upstream, how much of that is dedicated to exploration?
Juan Carlos Echeverry: Okay, Pedro thanks for your question. I will answer the one regard in production. As you pointed out during 2015 we had trusted margins for all the fields in Ecopetrol so we didn’t have to close any production. For the prices we have seen in the first week and first month of 2016 we have announced we closed production in two fields Caño Sur [indiscernible] production part of the total for the Group production is less than 1%. But in addition to that I would like to add that we continue to look for improvement both for the operation and the development of this field. This two fields have significant potential for us and we expect that this temporary exposure of the fields will start at some point due to efficiencies will gain. Thank you.
Thomas Rueda: Pedro. Regarding the US$4.8 billion for Ecopetrol it’s hard to investment for this year. We have inflexibility in at least US$1.5 billion coming from refining and transportation, refining approximately US$1 billion and transportation approximately US$470 million. So that part - those two parts are quite inflexible. The remaining parts we have targeted US$2.3 billion per production and US$660 for exploration. These two are an exploration there is crucial target which is the appraisal well for Kronos and also some commitments that we had and we are aiming through to do more exploration onshore in order to target cheaper barrels and barrels that we can get as sooner out of the ground. But of course out of this US$660 depending on price will be a calibrating how much we can explore this year. Taking into consideration the things I just mentioned that are definitely going to happen, of course depending on our dialogue with Anadarko et cetera. In terms of production out of the US$2.3 billion we have in our target we are balancing the availability of costs, with the need of maintaining production in our main oil fields. In Castilla, in Chichimene, we’ll be receiving Rubiales in July at the end of June et cetera. So we are maximizing the cash generation of our production – producing field. And monitoring very, very closely the price on the cash generation in order to invest as much as we can, but these are more or less the split of the US$4.8, US$1.5 million completely and flexible and the other once will be – will manage like a valve. We open the valve it will have more cash higher price and we close it very slowly other way. Recall that 2016 due to these numbers is a transition year for next year the US$1.5 billion of transportation and refining will not be any more important for our CapEx. For next year we will have at least US$1 billion more available for exploration and production. So 2017 looks much more promising – 2017 onwards it look much more promising in terms of growth for both exploration and production.
Pedro Medeiros: Okay. Very clear. Thank you, thank you so much for the responses.
Operator: And our next question is from the line of Alexander Burgansky with Deutsche Bank. Please go ahead.
Alexander Burgansky: Yes, Juan, thank you for the presentation. I just have a couple of questions. First of all, I want to come back to the question on the production guidance versus CapEx. In your December press release, you suggested that your CapEx guidance of US$4.8 billion for 2016 was associated with the production targets of 755,000 barrels per day in 2016. So, I understand that you try to be flexible with CapEx this year, but if you were to spend US$4.8 billion, can you please confirm that you will still be able to reach the 755,000 barrels per day target? So, that's the first question. And the second one, on the oil recovery rates, if you could perhaps elaborate on what oil recovery was assumed in your reserve reports? And how do you expect that oil recovery ratio will evolve over time? Thank you.
Juan Carlos Echeverry: Thank you Alex. Yes, the first question we have the answer is yes I mean if we can spend US$4.8 billion in CapEx we will most likely achieve the target of 755,000 barrels per day. These of course happen in January and February was definitely challenged but those two figures are related. In terms of oil recovery I would prefer Rafael Guzman to answer that question.
Rafael Guzman: Alex actually I would like if you could explain a little bit better your answer. I do not really understand it.
Alexander Burgansky: Yes, I was - my question is what oil recovery ratio has been assumed in the reserve reports? And what do you expect will happen to the oil recovery in the future years?
Rafael Guzman: Okay. We have a very comprehensive program on the increased recovery factor from all of our fields. The main provider of reserves in the short-term is of course continue our campaign infill drilling in our main fields like Castilla, Chichimene and Rubiales. In addition to that I am thinking of mid-term and longer future we have water injection which we already apply in fields like Castilla, Yarigui and some others. But starting last year we’re also injecting water in Chichimene and Castilla. This water injection will of course increase the recovery factor and that depends on a field-by-field basis but where we have seen already is the decline in production is slower in the areas we are starting to inject and water and we see also increment of production from this field. But in addition to that we go into thermal recovery and other tertiary methods. Overall, we expect to reach a 23% recovery factor with the current reserves and with a program for increased recovery we expect to reach at 28% recovery factors by year 2020. And we will continue looking for opportunities to improve this recovery and continue increasing the recovery factor.
Alexander Burgansky: Sorry. Can I please confirm? So, it's 28% by 2020? 23% is by what year?
Juan Carlos Echeverry: 23% is what we already have including the reserves, basically what we have produced already is 19% of the total oil, which the reserve to reach that recovery factor of 23% and with I mean what we have produced with the current reserve for us, but we will incorporate as reserves for 2020 we will reach 28%.
Alexander Burgansky: Okay. Thank you very much. Very clear.
Operator: And our next question is from Daniel Guardiola with LarrainVial. Please go ahead.
Daniel Guardiola: Hi, good morning to all. I have a couple of questions here. First of all, I would like to touch on your cost structure. And in that sense, I was wondering if you could please share with us what your current operating netback and if you could provide us with a breakdown of your costs in the E&P segment? And my second question is I would like to know your thoughts and by how much can you further reduce your cost structure without hurting your targets of production for 2016? Thank you.
Juan Carlos Echeverry: Daniel, you please repeat the second question I didn’t understand the second one?
Daniel Guardiola: Yes. The second question basically I would like to know how much further room do you have to reduce your costs without hurting your production targets for 2016?
Juan Carlos Echeverry: Thank you, Daniel. 2015 and what we aim to achieve in 2016 is combined operational excellence with financial excellence. That means, yes. We have to reduce cost, but we’ll have to also improve the portfolio of projects that we have and managed technical risk, adding assets that have better materiality. So in doing that we have reduced costs, the renegotiation of contracts and we are reducing for example the number of days on average to drill our wells and reducing the amount of dilutent that we use for our heavy crude oil and of the lifting costs et cetera. I mean across the whole chain of value, we have achieved efficiencies and implemented our transformation program. In doing that we have had reductions in the cost of refining of transportation and of production. The breakdown of that is difficult to provide here, but if we I mean we can’t help you in understanding, basically all the reductions some of them are in the press release. Let me ask Rafael Guzman to talk on your second question.
Rafael Guzman: Yes, complementing what - saying on the reduced costs, what you can see on the slide of where we presented costs of example drilling. We show the number of days of drilling, but we have achieved and we also show the record well. Our expectation is that we will be closer on closer on the average to the actual, the current record well. But that will be continue decreasing the cost of the wells and that doesn’t imply any additional risk that we are taking for production on any other risks. I’m now referring to the first question on the net back of the cost of the upstream, but we have said in the past is that we can produce cash on average in most of our fields on Brent pricing between US$20 and US$30 per barrel and that’s most of our production is 95%, 98% of our field.
Daniel Guardiola: Thank you. And if I may squeeze in another one question, I'd like to know if – I mean bear in mind that you leverage structured to further deteriorate in 2016 as oil prices stay low. I'd like to know if you have considered on partially divesting your stake in Cenit?
Juan Carlos Echeverry: Daniel, I’m not sure if I am understanding your question. Can you please repeat the question?
Daniel Guardiola: Well, my question is, I see that for 2016 you are planning on raising additional funds from divestitures from non-strategic assets. And in that sense, I would like to know if you're considering on partially divesting your equity stake that you currently have in Cenit, which is a midstream business?
Juan Carlos Echeverry: Okay, Daniel I see what is your point. Currently we have target of identified assets to – with the potential of the divested of US$1.4 billion. Out of that the target for this year and next year is between US$500 million, US$900 million. Those resources are not included in our cash generation for this year. So if that because it’s uncertain to date and which some of those assets will be sold, so if those assets are sold that would add to the cash generation for this year, next year with extra source of fund and in those assets spending is not included. So recall that this is a transition year, this the year in which we are spending US$1.5 billion in the mid and the downstream that will be not be present next year. So the cash position and the financial position will be relieved as of 2017 onwards of those expenditures and in the process of achieving financial excellence will not we are considering divesting some assets are not strategic for our current strategy and in a fashion that gives us room in the next 20 months to sell those assets. So I expect that we have answered your question.
Daniel Guardiola: Yes, thank you Juan Carlos.
Operator: And our next question is from the line of Anne Milne with Bank of America. Please go ahead.
Anne Milne: Thank you very much for the call. Thank you for the transparency in your press release and presentation, as well. Two questions, the first one I think you indirectly answered in the last question, or the one before that, and it was you've provided a lot of information on your lifting costs, your reduction in your average cost per well. I was just wondering if you have a range of what your estimate is for 2016, in terms of all-in E&P production costs. I think you mentioned that the fields you currently have or I think you said between US$20 and US$30. So, I would say mid-20s would be maybe your all-in cash costs for this year, is what you're saying? That would be my first question, is just confirming what the all-in cash cost of production would be? The second is that you have a maximum leverage target for this year of four times. I was wondering if you could provide the average oil price assumption behind that and the average FX rate, since those are two very key variables? And then, the final question is if you could just provide an updated figure on the percentage of costs and that you have in both U.S. dollars versus COP, both on the upstream and downstream? Thank you very much.
Juan Carlos Echeverry: Thank you, Anne. Regarding your first question, last year we have had a moving target. Last year we issued a plan of costs savings of US$800 million that was around May/June. Then in September/October, witnessing to what’s happening with international price of oil, we issued another order target of additional US$400 million. And in January the prices went down so drastically, we issued another plan of around US$400 million. For this year, we have identified fuel negotiation in contracts expenditure in many areas which we can savings of COP$1.6 trillion and however and we are keeping the program – the programs in which we are saving costs. For example they’re reducing the amount of dilutents for our heavy oils, we are now transporting as of now at 400 CST viscosity our heavy oils and so and so forth. So we are reducing costs to validate all of our oil fields, especially those of heavy oil and high production of water in Llanos Orientales. We have in terms of the price for 2016 while the current prices are below our target I cannot tell you exactly what was the price we use for our calculation, but definitely was above US$13 per barrel, which is what we have within the first two months. We have our leverage as you say of maximum leverage of ratio four and we expect afterwards to reduce that ratio with cash generation, with hopefully with better prices and with more barrels per day production and again we will be seeking financial excellence and trying to protect the debt metrics in order to guarantee that we keep the investment grade rating. I don’t know if I answered your questions properly.
Anne Milne: Yes. Just if you have a breakdown of the percentage of costs upstream and downstream, U.S. dollars or foreign currency versus COP?
Maria Fernanda Suarez: Yes, for 2016 around 50% of the fixed costs are in dollars and 90% of the variable costs are in dollars.
Anne Milne: Great thank you very much.
Operator: Thank you. And our last question is from the line of Pavel Molchanov with Raymond James. Please go ahead.
Luana Siegfried: Hi, this is Luana Siegfried in for Pavel. Thank you for the call. I have two quick questions. I would like to confirm that this year's targets for production continues to be 755 MBU per day and apologies if I missed this before. And on a related note, is there a chance of upwards revision in the production targets for this year given the Rubiales revision by June? Thank you so much.
Juan Carlos Echeverry: Hi, Pavel. Yes, as we said before this 755 barrels per day target is connected with target investment of US$4.8 billion. As you may understand, of course with the beginning of the year the price of oil was surprisingly low. So we will be calibrating the amount of investment during the year and of course the number of barrels we can stock will depend on that. So yes, the 755,000 barrels per day is not a fixed target it will be adjusted depending on the amount of cash we have and that in turn on the price of oil. There is no revision of those targets depending on Rubiales we have a very close knowledge of Rubiales, we have a weekly meeting with them remember we are partners with Pacific in Rubiales so we know that field very well our engineers have already been preparing a team for one-year for the transition day which is end of June. So that will actually affect the average but taking into account in the numbers I just provided. So probably I ask Rafael to complement on this.
Rafael Guzman: Yes, may be to complement the 755 guidance we gave last year already includes the production from Rubiales additional production we get from Rubiales once the field is operated and fully owned by Ecopetrol. So, there is no change to that number because it was already included there.
Luana Siegfried: Okay sounds great. Thank you so much. End of Q&A
Operator: And ladies and gentlemen, this concludes our Q&A session for today. I would like to turn it back to Juan Carlos Echeverry with his final remarks.
Juan Carlos Echeverry: Thank you very much to you all for participating in this conference call and for your interest in our Company. I just want to finish this conference call by stressing that 2016 is a transition year. We are aiming for operational excellence and for financial excellence we are monitoring the price of oil because this is a – this are challenging times for oil and gas companies and we are preparing our new portfolio a renewed portfolio for exploration and production I will have a lower needs of cash for transportation and refining assets as of 2017. So next year, we’ll have a platform for growth which is solid and which we restrict to have achieved most of our transformation program already at the end of 2016. So stressing that this is a transition year towards more promising future and thanking you all for having participated in this conference call. Have a good day.
Operator: Ladies and gentlemen, this concludes the program and you may all disconnect. Have a wonderful day.